Operator: Good afternoon my name is Kate and I will be your conference operator today. At this time, I would like to welcome everyone to the Provention Bio Call. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at the company's request. I would now like to turn the call over to Mr. Sam Martin from Argot Partners.
Sam Martin: Thank you, operator and thank you all for joining us on Provention Bio's first quarter financial results conference call. Joining today's call from the Provention Bio team are Ashleigh Palmer, Chief Executive Officer and Co-Founder; Jason Hoitt, Chief Commercial Officer; Andrew Drechsler, Chief Financial Officer; and Francisco Leon, Chief Scientific Officer and Co-Founder. On today's call, Ashleigh will provide a corporate update with a focus on PRV-031 or teplizumab and PRV-3279. Jason will update us on the commercial landscape, Andy will review financials, and we will then open the call for questions. First, let me remind you, that the various remarks we will make today constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments, regulatory matters and time lines, the potential success of our product candidates, financial projections, and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements, as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K which is on file with the SEC and in other filings that we may make with the SEC in the future. Any forward-looking statements represent our views as of today only. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. There is more complete information regarding forward-looking statements, risks and uncertainties in the reports Provention files with the SEC. These documents are available on Provention's website at www.proventionbio.com, under the Investors section, and we encourage you to review these documents carefully. I will now turn the call over to Ashleigh Palmer, Chief Executive Officer and Co-Founder, who will provide an update on Provention's corporate, clinical and business development achievements. Ashleigh?
Ashleigh Palmer: Thank you, Sam, and thank you all for joining us today. We hope you and your loved ones are safe and healthy during these unprecedented times. While there has been tremendous disruption across all areas of daily living due to COVID-19, I am pleased to report that our team at Provention has continued to execute our mission. As a virtual Company, Provention have been able to seamlessly pivot to the new operating environment, and we remain on track to achieve our key goal for 2020, completing the submission of our rolling Biologics License Application or BLA for Teplizumab, also known as PRV-031. Let me now review with you, the recent progress that has been made on our path to becoming a commercial organization, as well as our compelling plans going forward. Provention is dedicated to transforming the way people think about type 1 diabetes or T1D and other life threatening or life impacting autoimmune disorder. Our mission is to create a new treatment paradigm for T1D, a disease for which there has been no significant advancement in therapy, since insulin was first introduced in 1922. Our lead therapeutic candidate, teplizumab, an anti-CD3 monoclonal antibody, has the potential to delay or with timely re-dosing, possibly even prevent the onset of clinical stage T1D. Much like we reboot a computer to eliminate malware, mechanistically a single course of teplizumab reboots the immune system to neutralize pathogenic auto reactive T Cells that would otherwise destroy the precious insulin producing beta cells in the pancreas. We are preparing to bring teplizumab to the US market, based on the results of the TN10 trial which were published in the New England Journal of Medicine last June. This remarkable trial demonstrated that a single 14-day course of teplizumab administered to at-risk individuals delayed the onset of clinical stage T1D by a median of at least two years as compared with placebo. This study was highly statistically significant and the result is highly clinically relevant. The corresponding potential benefit to patients and their families cannot be denied. For the first time, we have an opportunity with teplizumab to intercept or with timely re-dosing, indefinitely delay or prevent the progression of type 1 diabetes to end-stage insulin dependent disease in individuals identified as being at risk by having at least two or more T1D-related autoantibodies. As you might expect, the potential for this first ever disease modifying therapy is generating tremendous enthusiasm and excitement within the T1D community, and we remained laser-focused on bringing teplizumab to market as rapidly and responsibly as --. We are extremely pleased with our progress over recent months in charting our cost to potential regulatory approval and commercialization. Having last year obtained breakthrough therapy designation for teplizumab for the delay or prevention of clinical T1D in at-risk individuals. Last month, we announced our filing of the non-clinical module of the company's rolling BLA submission to the U.S. Food and Drug Administration. Rolling submission allows for completed modules of the BLA to be submitted and potentially reviewed by the FDA in a sequential manner. Next, we expect to submit our clinical modules in quarter three of this year. And finally, the chemistry manufacturing and controls or CMC module in quarter four. Our filing of the CMC module represents the critical path for completion of our rolling BLA submission. To this end, we successfully completed transfer of teplizumab's commercial-scale manufacturing process from Eli Lilly's historic manufacturing plant in Ireland to Provention's contract manufacturing partner, AGC Bio in Seattle, Washington. Following completion of an engineering run in quarter four of last year, I'm delighted to report that in the first quarter of this year, we reached another important CMC milestone with AGC Bio's successful completion of a current good manufacturing practice or cGMP production run of teplizumab. We now intend to submit the analytical data from both the engineering and cGMP runs to our teplizumab IND to allow the FDA to review and comment with respect to the comparability between material made at AGC and that previously made by Lilly. Going forward, we expect to proceed with three commercial scale; process, performance, qualification, or PPQ batches at AGC Bio this summer. These will support the CMC module and enable the completion of the rolling BLA submission by year-end. Once we submit the final module, the FDA will determine if our filing is acceptable and set a Prescription Drug User Fee Act or PDUFA date. Assuming a priority review for which we are eligible to file in connection with teplizumab's breakthrough therapy designation, the stage could be set for a potential approval in mid-2021. Recall last year that in addition to breakthrough therapy designation received from the FDA, we also received PRIME designation from the European Medicines Agency. In the first quarter of this year, we held a kick-off meeting with the EMA to discuss the regulatory pathway and the scheduling for teplizumab review in Europe. As with the FDA, we believe that data from the TN10 at-risk study along with our database from historical studies of teplizumab in newly diagnosed T1D patients will support an EMA Marketing Authorization Application or MAA. We expect to be able to submit this MAA in the second half of 2021. To-date, the company has not experienced any COVID-19 related interruption in our interactions with the EMA or the FDA or in the scheduled rolling submission of our BLA for the at-risk indication here in the United States. However, in March due to rapidly deteriorating public health and clinical research conditions brought about by the COVID pandemic, we elected to temporarily pause the randomization of subjects into our global Phase 3 PROTECT study of teplizumab in newly diagnosed T1D patients. We took this proactive and protective measure out of an abundance of caution and care for our patients and their caregivers, for the clinical site staff, and for our clinical operations, employees, and contractors. Patients who at the time were undergoing study therapy were allowed to complete their course of study drug as recommended by the PROTECT study's data monitoring committee, which we expanded to include an infectious diseases--. While we do not yet have any specific guidance regarding when PROTECT study randomization will recommence, we anticipate that it will do so in a sequential manner as local conditions permit within each country and at each site. Let me now turn the call over to Jason to provide an update on the progress being made with our teplizumab commercialization planning. Jason?
Jason Hoitt: Thank you, Ashleigh and good afternoon everyone. We're excited about the advancements we have made in Provention's commercial operations since the beginning of the year. We've built a strong leadership foundation with a Vice President of Market Access and Distribution who I mentioned on our last quarterly call. And more recently, a Vice President of Marketing, who joins us with more than 20 years of industry experience, having been the Chief Marketing Architect of multiple blockbuster product launches. Collectively, we have extensive experience in rare disease product launches as well as launches in nascent markets and novel therapeutic indications, and a deep understanding of the type 1 diabetes space. We are laying the foundation that will position us for the most effective path toward commercialization of teplizumab. This month we will engage a payer advisory board representing more than 79 million covered lives to assist us in building the most effective messaging to communicate our vision of a new standard of care for T1D treatment. We will also gain insights and feedback on the burden of disease, burden of illness as well as how they view the T1D market currently. On our last quarterly call, we discussed the importance of screening patients as it relates to the commercialization of teplizumab. In addition to engaging a payer advisory committee, we're also building a healthcare provider awareness campaign, intended to encourage physicians to proactively offer screening to family members of their T1D patients, which we plan to launch in the third quarter. Our efforts coincide with broader recognition among the scientific community about the importance of screening. A recent study published in JAMA highlighted the positive impact of a mass screening effort in Bavaria. Similar efforts are under way in Northwestern Germany and in U.S. states such as Colorado. The potential for a therapy that could impact the course of the disease in patients with two or more autoantibodies is also helping to shift attitudes on Provention. In a recent article in Science magazine, Dr. Olga Kordonouri, who specializes in pediatric diabetes at a children's hospital in Hanover, Germany stated that the teplizumab data from the TN10 study, "changes the thinking" around screening. As previously stated, our initial commercial strategy at launch were focused on a subset of at-risk patients who are direct familiar relatives of known type 1 diabetics. We know from the published literature that 15% of newly diagnosed patients have a relative with T1D. In total, we believe there are 200,000 stage 2 patients in the United States and if you apply that 15% having a familial relative with T1D, it would amount to an initial addressable market for treatment with teplizumab of roughly 30,000 patients. Family members of T1D patients will be screened for two autoantibodies and subsequently dysglycemia to identify as many as possible of these 30,000 individuals. Standard blood tests are readily available and more than 1.5 million people have been screened in recent years. In addition, there are hundreds of thousands, tested every year given risk factors or in the differential diagnosis of T1D. To be clear, initial feedback from families and caretakers with experience managing clinical T1D understand the burden of this disease and are generally highly motivated to screen their loved ones. Ultimately, we will further expand screening into a broader patient population and to this end, we look forward to working closely with advocacy groups such as JDRF, Beyond Type 1, the Helmsley Foundation, and other groups who share this goal. Over time, we believe this will allow us to identify a greater proportion of stage one and stage two individuals, who have not progressed to clinical T1D and who are not direct familial relatives of known type 1 diabetics thus increasing the market size dramatically. Longer term, through life cycle management, we will seek to broaden the market potential by exploring repeat dosing, expanding the targeted age group, and eventually looking at subcutaneous formulations and combining teplizumab with other therapeutics and potentially with islet beta-cell transplantation. We are excited about the many opportunities ahead for teplizumab and the T1D community and we look forward to updating you on our commercial progress, planning, and insights throughout the remainder of the year. Back to you, Ashleigh.
Ashleigh Palmer: Thank you, Jason. We could not be more pleased about your arrival at Provention, the elite commercial leadership team you're building, and the progress you're making. Before Andy discusses Provention's first quarter financial results, let me provide you with a brief update on another one of our pipeline programs as we continue to make progress advancing the development of our other therapeutic candidates targeting life-impacting autoimmune diseases such as lupus and celiac disease. On our last call in early March, we discussed the positive topline results of the Phase 1b healthy volunteer stage of the PRV-3279 PREVAIL trial. PRV-3279 is a humanized bispecific scaffold targeting the B-cell surface proteins CD32B and CD79B. We believe the PRV-3279 has the potential to intercept B-cell mediated autoimmune diseases, and we have prioritized lupus as our lead indication. Lupus is a chronic autoimmune disorder with a clear unmet need and for which therapeutic proof of mechanism for CD32B agonism has already been established. At least 1.5 million Americans are afflicted with all forms of lupus, which can affect nearly every major organ system with tissue-damaging inflammation that in some patients results in severe organ dysfunction and failure. We look forward to commencing the Phase 2a portion of our PREVAIL study in lupus patients during the first half of 2021, and we will keep you updated along the way. PRV-3279 has the potential to address other autoimmune conditions in which B-cells play a pathophysiological role including more prevalent indications in lupus such as rheumatoid arthritis, as well as rare orphan diseases such as idiopathic thrombocytopenic purpura, neuromyelitis optica, pemphigus, and myasthenia gravis. PRV-3279 also has the potential to prevent or reduce the immunogenicity associated with biotherapeutics including gene therapy products, and we anticipate presenting results from animal studies supporting this opportunity in the second half of this year. I will now turn the call over to Andy who will discuss Provention's financial results for the first quarter. Andy?
Andrew Drechsler: Thank you, Ashleigh. Good afternoon. Before I begin, I would encourage you to read our earnings press release and our 10-Q that was filed today. The 10-Q includes our financial statements, risk factors, as well as management's discussion and analysis of our financial condition. Let me start with our current cash position and cash projection. As of March 31st, 2020, our cash balance was $76.6 million. Our cash based operating expenses for the three months ended March 31st, 2020 was $11.6 million. We continue to expect to use approximately $24 million to $29 million in operations for the first six months of 2020, and we continue to expect that our current cash, cash equivalents, and marketable securities will be sufficient to fund projected operating requirements to the middle of 2021. From a P&L perspective, we generated a net loss for the first quarter of $12.6 million or $0.26 per basic and diluted share. The increase in net loss compared to the same period in 2019 is a result of greater, general and administrative costs including the build-out of our corporate and pre-commercial infrastructure. Lastly, in April, Provention received $523,000 from the sale of a portion of the Company's New Jersey state net operating losses. The program was administered by the New Jersey Economic Development Authority and allows qualified technology and biotechnology businesses in New Jersey to sell certain NOLs for cash. With that, let me turn the call over to Ashleigh for his closing remarks.
Ashleigh Palmer: Thank you, Andy. Provention has demonstrated outstanding progress to-date this year. Throughout the remainder of 2020, we will continue to focus on teplizumab manufacturing and our BLA rolling submission. In parallel, we will transition and transform the company into a commercially viable organization in anticipation of the potential launch of teplizumab in 2021. We are driven by the possibility of creating the first-ever disease-modifying therapy treatment for type 1 diabetes. In addition to teplizumab, our pipeline is rich with potential opportunities to fundamentally address the unmet need associated with other autoimmune diseases and we are passionate about advancing these therapeutics to help patients and their caregivers. And now, we will open the call to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Alethia Young with Cantor. Please go ahead.
Unidentified Analyst: Hey guys, this is [Indiscernible]. Thanks for taking the call. I guess first just on PROTECT study. Just wondering what are the milestones that you're looking for and related to COVID-19 that will sort of drive you to restart the study again. And then, I know we still have some time from commercial launch, but can you just talk about things that you're working on to educate physicians so that they are more comfortable with using an immune-based therapy to treat their average patients. Thanks.
Ashleigh Palmer: Thank you very much for the question. So, the criteria that we will use to reestablish the randomization of patients into PROTECT will be at a local level as each country comes through the crisis, and begins to lift the lockdown procedures and other measures that they have in place. We will be relying heavily on our data monitoring committee, including an expert infectious disease key opinion leader who will be helping us access each country's status and then, with respect to each site because as you can appreciate, there is great diversity in each country, it may be some time before sites in the middle of New York or San Francisco, for example, maybe ready to begin randomization again. Whereas sites in other states that have a different local situation and the confidence of local site personnel that they can manage patients and their caregivers safely will allow those sites to be switched on or switched back on more quickly. I'm going to ask, Jason, if he could comment please with respect to the particular education that will be done to get endocrinologists and related clinicians comfortable with immunomodulatory therapy in an indication that is not previously seen that type of therapeutic intervention.
Jason Hoitt: Yes, thanks Ashleigh, and thanks for the question. So, I think the approach that we're going to be taking on the commercial side is primarily focused around screening, awareness, and ensuring that endocrinologists and pediatric endocrinologists are encouraging their -- the family members of the type 1 diabetes patients that they currently have under care to get screened. While simultaneously on the medical affairs side, our Head of Medical Affairs, Robert Adamoski is putting together a robust continuing medical education plan that will include both virtual and live events that will be driving education to meet the unmet needs that exist in the market with regard to the evolving paradigm in type 1 diabetes treatment. As you know on the commercial side, we won't be able to actively promote a product like teplizumab until the FDA gives us the approval.
Unidentified Analyst: Got it. Thanks.
Operator: The next question is from Thomas Smith of SVB Leerink. Please go ahead.
Thomas Smith: Hey guys. Thanks for taking the questions, and congrats on the progress and kicking off the rolling BLA submission. A couple of questions on the teplizumab manufacturing. Can you just talk about how your CMO partner, AGC Biologics is navigating the COVID-19 pandemic? And have they seen any notable disruptions across any of their operations? How comfortable are you, I guess that they aren't going to run into any COVID related issues?
Ashleigh Palmer: Thank you for the question, Tom. So the AGC Bio contractor has put together a great program. They are an essential manufacturing facility and remain open and they manufacture many products, not just teplizumab at commercial scale throughout their manufacturing facilities and in particular at their site in Bothell. To-date, we have seen no indication that they have encountered any issues. To the contrary, our confidence grows as the Seattle area gets on the right side of the COVID-19 peak crisis. I think we remain very confident in so far as anyone can be confident in this environment. Obviously, supply chain can be quite long and differentiated in biologics manufacture, and we keep our eye on that and we're doing everything we can proactively putting in place contingencies and making sure that we avoid possibilities of delay and the rest is really watching how this global pandemic evolves in the coming weeks and months.
Thomas Smith: Okay, got it. Thanks. That's helpful. And then, Jason talked about kicking off payer engagement this quarter, I guess, can you just walk us through how you're approaching these meetings, what sort of pharmacoeconomic work you've undertaken to engage in these conversations? And then I guess, any updated thoughts on how you're thinking about teplizumab pricing?
Ashleigh Palmer: Thanks, Tom. Jason here can you answer that for us please?
Jason Hoitt: Yes, sure. Thanks for the question, Tom. So, as I mentioned this month we will be engaging a payer advisory board and the participants in that advisory board represent over 79 million covered lives, and the intent of that ad board is to help shape both the pharmacoeconomic needs and story that we're actively working to build, but also to get additional insights into the way that payers are currently thinking about the type 1 market, how they view teplizumab. So, we'll be showing them a target product profile of teplizumab to have them be able to give us feedback on the core data and how they will think about coverage at the time of a potential approval. So, those are really the intents of the advisory board as -- to gain insight on the messaging, insight on the data that we're actively working to prepare from a health economic standpoint and then get an initial read on how they're thinking about coverage in the context of the way the market exists today, but setting the stage and helping them understand how the treatment paradigm is going to evolve with a potential approval of teplizumab, and how that factors into their thinking and decision-making around coverage.
Thomas Smith: And have you seen Jason, any indication to date why the analog pricing that we've given guidance on in the past is not appropriate?
Jason Hoitt: No. So, today -- and thanks for the reminder actually. No, we haven't seen any reason to believe that the analogs that have been previously discussed are no longer valid. But as you know, Tom, I think we've talked about this. But the formal pricing work that we'll be doing, we want to do it as close to the approval, so that it is relevant as possible. So, we wouldn't think about doing the formal pricing work until we've engaged this Advisory Board, evolved our thinking, evolved our messaging, engaged more payers and then have a well-informed group of participants in the pricing research to be able to give us the most relevant, and up to date knowledge as possible leading into a potential approval, at which point we would announce the final price.
Thomas Smith: Sure. That makes sense. And if I could just sneak in one last question, just with ADA, I guess switching to a virtual format here in June. I was wondering if you could give us a sense of how you're approaching the meeting, how you're thinking about engaging the KOLs there, and what we should be watching for at that meeting?
Jason Hoitt: Ashleigh, do you want me to take that one?
Ashleigh Palmer: I'm sorry I was on mute. My apologies, you've heard exactly what I said, Jason, would you mind taking that?
Jason Hoitt: Yes, so Tom, so for ADA, it's unfortunate that given the circumstances out there, so many of the major medical meetings have been canceled. Fortunately, ADA has found a really innovative way to move their meeting to a virtual environment. So, obviously, we'll be actively watching and participating and doing the presentations, and while we don't know specifically what data will be presented, we would hope that there would be an update on teplizumab coming out of the trial group. As you know, they have full responsibility for publication of the data, but it does in fact limit how we're able to engage KOLs. So, we're thinking about ways to augment the fact that we can engage KOLs live at the meeting and thinking about putting together virtual advisory boards in the latter part of this year, following ADA, so we can engage them that way in the event that things don't open up by that. Obviously, if things open up, we'll start to really rapidly advance our engagement of KOLs both at a national and a local level.
Thomas Smith: Great. Got it. Okay. Thanks for taking the questions, guys. Appreciate it.
Jason Hoitt: Thanks Tom.
Operator: The next question is from Ram Selvaraju of H.C. Wainwright. Please go ahead.
Ram Selvaraju: Hi, thanks very much for taking my questions. Queries on the commercial, regulatory, and clinical front. So, let's start with the commercial. I was wondering if you could elaborate on the principal differences that you see in the sales and marketing strategy that would be brought to bear targeting the at-risk population versus the early onset population? And - I mean, this may be a bit premature since we don't know what the timeline is for the PROTECT study at this juncture. But what learning can you apply from the work you're doing to effectively target the at-risk population and position the company for the launch of teplizumab in that population, that could be applied to the early onset population as and when you have the PROTECT data and potentially a label for teplizumab in that indication?
Ashleigh Palmer: Thanks Ram. So, again, Jason, if you could explain how you are looking at this because they are very different markets. One is a nascent market, which requires screening to identify individuals at risk, the other newly diagnosed within six weeks of presentation with the symptoms of clinical-stage type 1 diabetes, 50% of which is very often a diabetic ketoacidosis. So, a market where we are looking for patients versus a market where we know exactly where they are and how they're going to be referred to an endocrinologist, Jason?
Jason Hoitt: Yes, thanks for the question, Ram. So, I think Ashleigh actually hit a lot of the key points there, right. I think we've discussed that our initial launch focused for the at-risk indication is going to be for the direct familial relatives of other types 1 diabetic and really being able to leverage the specific knowledge that families and caregivers and patients have on both the diagnosis progression and ultimate implications of type 1 diabetes and having that group really advocate for their loved ones to get screened, while simultaneously going about educating HCPs as we talked about during the prepared remarks and ensuring that pediatric endocrinologists are well-educated on specifically what screening protocols they should be using and offering that screening to those relatives. When we think about that the newly diagnosed population, I think as our commercial team gets out there, and starts to engage with the pediatric endocrinology community, starts to engage with the broader community that are caring for these direct familial relatives, we will have tremendous insights that we will learn about the pathways to care about referral networks and a lot of the work that we're starting right now. But we won't necessarily have to do all of the legwork with regard to screening, just because of the way the patients are presenting to the healthcare system. And I think one of the things that is really attractive from a commercial perspective about this is the fact that, I don't envision us needing to have a scale-up in our commercial infrastructure to adequately cover the newly diagnosed market. Since we're likely going to be engaging the exact same physician groups in the pediatric endocrinology community to target both populations and by the time the newly diagnosed indication is approved, we will have significantly well-established relationships with those providers and they will have a deep understanding of Provention Bio, and how specifically to go about acquiring and administering teplizumab.
Ram Selvaraju: That's very helpful. Thank you. On the European front, I was wondering if you could answer a couple of questions that are both relevant to the commercial as well as the regulatory aspects here. Firstly, maybe Jason and Ashleigh, I'd be curious to know how your views are evolving regarding the best way to optimize teplizumab's value in Europe, whether you're thinking about the go it alone strategy, the distribution strategy or the partnership strategy or some combination of the above. And then also on the regulatory front, I was interested to know in your discussions with European regulators to date, whether you have a sense at this juncture of who the rapporteur countries might be on the MAA. And at what juncture you might actually begin to start seeing interactions with the CHMP as well even perhaps ahead of the formal MAA submission.
Ashleigh Palmer: Thanks again for the great question. So, we have categorically stated that we will not be doing this ourselves in Europe. So, it will be a combination of a regional partnership or distributorships. And we have a sort of 12-month lag from the time the therapeutic could be approved here in the United States, and that in Europe, and so while time is of the essence, we do have more time to share what we are learning here in the United States and progress those partnering distributorship discussions. Do you want to comment, Jason, on the difference in value and how we're looking at the value of this therapy in Europe as compared to the United States?
Jason Hoitt: Yes. So, as Ashleigh mentioned, we have no intention of building our own infrastructure in Europe, and we'll be looking to partner and depending on the nature of what the ex-U.S. partnership looks like, whether it's a regional European partner, and then other geographies working through distributors, I think remains to be seen based on how the partnering discussions evolve. With that being said, we know that the likely pricing and value that we will be able to get in Europe will in all likelihood be lower than that of what we're able to get in the United States. But we're just starting some of that work now to engage some of the European payers to talk through some of what they will want to see on the value side as we start working through what European pricing may look like. And that's the work that I think we're doing independently because we know that it will help add value to the discussions that we're having with potential partners. And with respect to the regulatory interactions to-date, we have indicated, we had the kickoff meeting with the EMAs following PRIME designation, but we have not yet provided any guidance regarding the details of the scientific review meetings or the rapporteur, but we will in short while.
Ram Selvaraju: Okay, perfect. And then just three quick items on the clinical front. Can you comment at this juncture on what steps you are taking to effectively mitigate against the risk of data integrity issues or in particular loss to follow-up issues relating to patients who had already been randomized into the PROTECT study before you pause randomization. And also, if you can give us a sense of kind of how far into the PROTECT trial you were at the time that randomization was paused. And then also, I just had a quick question on the lupus program. To what extent you anticipate being able to specifically explore the efficacy profile of the drug in lupus nephritis and what specific readouts you are contemplating that would allow you to elucidate that? Thank you.
Ashleigh Palmer: Thank you very much again for the great question. So, we do not have Eleanor Ramos, our Chief Medical Officer with us today, but Francisco is perhaps the closest to the details regarding the data integrity question that you asked. And he is also the best person obviously leading the program to discuss the lupus 3279 protocol. Francisco, could you please take both of those questions for us?
Francisco Leon: Yes. Hi, Ram. So, in terms of the integrity of the data, we have provisions in place to ensure that all what's happening is not going to affect the interpretation of the data appropriate statistical methods that have been and will be discussed with regulators. And there are guidance that has come out on this specific topic from both the FDA and the EMA to ensure that all the analysis are down appropriately taking into account the situation.
Ashleigh Palmer: And we did not -- and we have not provided guidance on where we were with enrollment at the time randomization was paused. We had indicated that we were on target to conclude the enrollment by the end of this year. So, it's not unreasonable at this point to assume that however long we are paused, will be a -- the indication of how much further into next year, we would expect enrollment to be completed. And then as you know with the 18-month follow-up, the actual topline results are 18 months after an announcement of enrollment completion. Francisco, do you want to speak to the lupus protocol?
Francisco Leon: For lupus, as you know, we recently reviewed the topline data, which is very exciting. And we want to take some time to digest these data and to share it with our KOL, and design the Phase 2a trial appropriately. At this time, the most likely scenario is that we are going to evaluate the substance of lupus patients, which are readily and objectively identifiable such as arthritis, dermatitis, etc. And we haven't been determined if nephritis will be part of the Phase 2a.
Operator: Your next question is from Gbola Amusa of Chardan. Please go ahead.
Unidentified Analyst: Hi, it's Sam Lee calling on behalf of Gbola Amusa. Thanks for taking my call. I have two questions and then a follow-up. First question, would you update us on any advantages you've seen in the mid-COVID-19 pandemic of having breakthrough therapy designation on teplizumab as you're hoping to finish your rolling BLA and then the U.S. approval? And then second, so it's obviously more difficult to run combination trials when both products in the combo are not yet approved. But given that, were teplizumab to be approved in 2021, do you think there will be increased interest from external parties seeking to fund combination trial?
Ashleigh Palmer: Thank you. So, we've seen no indication that there would be a delay in our schedule as presented in our fixed remarks at the beginning of the call. Q2, the COVID-19 pandemic, we intend to file the remaining module, CMC module in quarter four on schedule, assuming that we complete the three PPQ runs, the commercial-scale batches back to back in the summer and again based on my comments regarding our manufacturer we are on schedule to do that and at this point in time, see no indication of any disruption. So, the combination question, our philosophy, and strategy at this point is that all additional development is best done on the other side of an approval for the at-risk indication. So, we're talking about combinations to enhance the delay in progression of the disease and/or re-dosing. Our goal is to get this therapy approved based on the amazing breakthrough therapy designation results over the two-year medium delay in the onset of type 1 diabetes from a single course and then having gotten the approval and have then a population of patients who will have received one dose, we can then divert those patients into sponsored studies, into registries, into KOL studies evaluating not only combination, but also re-dosing.
Unidentified Analyst: So, to follow-up on a combination, as you're thinking more of a cell therapy based approaches that people are trying to work on right now. So, in regards to stem cell therapy companies out there trying to figure out how to protect the transplanted cells from being attacked by the immune system such as through gene editing. Do you see teplizumab as an alternative to those immune invasion strategies or would you be synergistic to those protection strategy? Thanks.
Ashleigh Palmer: Thanks very much. So, again, Francisco is best to answer this, but we definitely see the established market of type 1 diabetic to have essentially lost their insulin production capabilities, and their beta cell where transplantation and cell therapy opportunities present as those therapies are developed by other companies. We believe that teplizumab can play a very significant role in maintaining the recruiting of the immune system that will be necessary to protect beta cell in individuals who have lost them due to autoimmunity, lost their original cells, it still is a very relevant therapy at that stage, perhaps even more so to protect the establishment of new cells in the body. Francisco?
Francisco Leon: Yes, thank you, Gbola for the question. Obviously, the better jobs those companies developing cell-based therapies do, the more of those cells will look like beta cells, and the more they will subject to attack by the immune system. And despite gene editing advances, there are certain antigens that you cannot edit out. So, for example, T1D patients have health immunity against insulin, it's very common to have insulin antibodies and T Cells against insulin. So, you cannot edit out insulin because that's the purpose of making those cells, so they can make insulin. So, we absolutely see teplizumab as an important adjuvant in this kind of therapy. We don't know if it's going to be entirely an alternative or synergistic. We do know that teplizumab has been used in combination with islet cell transplant and it's been published with good results, but we haven't had experience with the new stem cell-derived cells. We will look forward to getting some experience in that field in the future.
Unidentified Analyst: That was helpful. Thank you so much.
Operator: Your next question is from David Hoang of SMBC. Please go ahead.
David Hoang: Hey guys, thanks for taking the questions. And really great to recap all the progress. I had a couple. So, you had mentioned in certain geographic regions there have been, I guess, broader format screening campaign, you mentioned Bavaria in Germany and then the Denver area in the U.S. I'm just curious as to how those campaigns kind of were driven forward, maybe a little bit more color on kind of what they look like. And is there any, I guess agreement among endo doc in terms of the best way to do a broader screening campaign, what age should we be looking at? How many times you will be screening a child, and then I guess are general pediatricians the ones that would need to do that type of screening?
Ashleigh Palmer: It's a great question, and it is diverse and ranges from full-blown general population screening for autoantibodies and the type 1 diabetes and [Indiscernible] in a country like Finland. And then, less so in the United States except for pockets around centers-of-excellence like Barbara Davis or as part of research consortia like [Indiscernible]. But Francisco really is our expert in screening and maybe Francisco you could give some indication as what the drivers are behind that diversity and what role teplizumab is going to make as a catalyst in driving familial screening and general population screening in those areas where it currently is not established.
Francisco Leon: Yes. Hi, David. So, we have a number of consortia in the U.S. and in Europe determining the risk of T1D, identifying subjects at risk, either with genetic HLA typing or for the most part, the most common method is the autoantibody determination. And oftentimes in conjunction with celiac disease autoantibodies as Ashleigh said. In total, there are about 1.5 million subjects which have signed up for this academic consortia. So, a very substantial amount of patients and subjects in the general population. Some are family members, some are general population. So, what drives those subjects to participate? We know that despite knowing that you have a risk of T1D, you can reduce the incidents of diabetic ketoacidosis, DKA, a very serious complication of undiagnosed T1D which is life-threatening and has substantial morbidity, mortality and healthcare costs. So, one of the main drivers of screening has been a reduction in DKA and purely academic research. Now we know based on what all of these key opinion leaders are organizers are telling us that once teplizumab is on the market, screening is going to grow exponentially, because now you have some intervention that can change the trajectory of the disease in these patients and we expect that in addition to clinically indicated screening, which is happening at the doctor's offices and this academic consortia, there will be a groundswell of screening worldwide. And hopefully, one day, we'll all be like Finland where they are currently covering half of the population with screening for T1D and they are planning now to cover the entire country.
David Hoang: Okay, great. Thanks. That was very helpful. And then I just had one other follow-up. So I think on our past conversations you mentioned looking at sort of the T Cell phenotype and really detecting an exhausted phenotype that could be an indicator of whether teplizumab effects are persisting over time. So, in terms of looking at T Cell exhaustion, is that something that's really only available in the academic arena, or is that something that physicians in the clinic, would be able to take advantage of as through a lab test or something similar in determining maybe when to re-dose teplizumab.
Ashleigh Palmer: Yes. So, it's a very accessible test because on one hand any hospital or clinic that has a flow cytometer can do it locally. Flow cytometry is used for example to determine the CD4, CD8 ratio in HIV or the phenotype leukemia, lymphoma. It's a very common technique. Every hospital of importance, the secondary, tertiary hospital have the flow cytometry. And for those who don't have a flow cytometer, they can just send the sample to the central lab and the sample is just peripheral blood that is shipped at room temperature. So, it's a simple mail envelope and it goes to a central lab. So it's something that we believe is going to be very easy to implement to help guide re-dosing decision.
David Hoang: Okay, great. Thanks. I appreciate that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ashleigh Palmer for closing remarks.
Ashleigh Palmer: So, thank you all for joining us today. We look forward to updating you again soon on our continued progress and we sincerely hope that you and your loved ones stay safe and well at this time. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.